Operator: Ladies and gentlemen, thank you for standing by, and good evening. Thank you for joining Sohu's Fourth Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. After management's prepared remarks, there will be a question-and-answer session. Today's conference call is being recorded. [Operator Instructions] I would now like to turn the conference over to your host for today's conference call, Huang Pu, Investor Relations Director of Sohu. Please go ahead.
Huang Pu: Thanks, operator. Thank you for joining us to discuss Sohu's fourth quarter 2023 results. On the call are Chairman and Chief Executive Officer, Dr. Charles Zhang; CFO, Joanna Lv; and Vice President of Finance, James Deng. Also with us are Changyou's CEO, Dewen Chen; and CFO, Yaobin Wang. Before management begins their prepared remarks, I would like to remind you of the company's safe harbor statement in connection with today's conference call. Except for the historical information contained herein, the matters discussed on this call may contain forward-looking statements. These statements are based on current plans, estimates and projections, and therefore, you should not place undue reliance on them. Forward-looking statements involve inherent risks and uncertainties. We caution you that a number of important factors could cause actual results to differ materially from those contained in any forward-looking statements. For more information about the potential risks and uncertainties, please refer to the company's filings with the Securities and Exchange Commission, including the most recent annual report on Form 20-F. With that, I will now turn the call over to Dr. Charles Zhang. Charles, please proceed.
Charles Zhang: Thanks, Huang Pu. And thank you, everyone, for joining our call. In the fourth quarter and the full year of 2023, we continued to optimize operating efficiency with strict budget control, despite the external economic environment and cautious budgeting by advertisers. Thanks to these efforts, our bottom-line performance hit the high end of our guidance for the fourth quarter of 2023. At Sohu Media Portal, we further refined our products, upgraded technology and expanded premium content offerings, resulting in an enhanced user experience. At Sohu Video, we continued to execute our Twin Engine strategy by developing engaging long- and short-form content. In addition to the social distribution of -- social network distribution of short-form content, we also worked hard on science-based live broadcasting and other live broadcasting events, which further boosted user interactions and engagement on our platforms. We also proactively explored diversified monetization opportunities by integrating our advantageous resources and hosting various content marketing campaigns with our unique IPs. Lastly, our online game business remained stable, delivering revenues in line with our expectations. Before going through each business unit in more detail, let me first give you a quick overview of our financial performance. For the fourth quarter of 2023, total revenues, $141 million, down 12% year-over-year and 3% quarter-over-quarter. Brand advertising revenues, $20 million, down 30% year-over-year and 9% quarter-over-quarter. Online game revenues, $115 million, down 5% year-over-year and 2% quarter-over-quarter. GAAP net loss attributable to Sohu.com Limited, $13 million, compared with net loss of $7 million in the fourth quarter of 2022 and a net loss of $14 million in the third quarter of 2023. Non-GAAP net loss attributable to Sohu.com Limited was $11 million, compared with a net loss of $2 million in the fourth quarter of 2022 and a net loss of $10 million in the third quarter of 2023. For the full year of '23, total revenues, $601 million, down 18% compared with 2022. Brand advertising revenues, $89 million, down 14% compared with 2022. Online game revenues, $480 million, down 18% compared with 2022. GAAP net loss attributable to Sohu.com Limited was $66 million compared with a net loss of $17 million in 2022. Non-GAAP net loss attributable to Sohu.com Limited was $51 million compared with net income of $2 million in 2022. Now, I will go through our key businesses in more detail. First, Media Portal and Sohu Video. At Sohu Media Portal, in 2023, we focused on improving the user experience through algorithms and products optimization. We continue to refine our operations, expand our premium content offerings and diversify their delivery formats, which resulted in stable user metrics and user stickiness. Simultaneously, we also focused on the generation and distribution of premium content. While driving the content consumption, we continuously enhanced the social features -- social network features, which not only enhanced interactions between users, but also stimulated the generation and social distribution of more high-quality content. At Sohu Video, we continued to execute our Twin Engine strategy to expand and diversify our offerings across different formats, including live streaming content. In 2023, we released several original content, including the crime-themed idol romance drama, Love of Replica, [Foreign Language], reality shows, This is Me [Germany] (ph) and Hi, Summer Friend, [Foreign Language]. These series have generated widespread discussions across various social media platforms. For short format, we -- and live streaming, we reinforced our leading position in knowledge and science-related live streaming with highly regarded IP, Charles' Physics Class leading the way. Since the launch of Charles' Physics Class in November 2021, the class has live streamed over 200 online live broadcast, held more than 20 offline seminars and published two science books, and the third one is coming, forming a continuous multidimensional dissemination. We launched a series of online/offline Charles' Physics Class during the quarter, attracting millions of viewers of all ages, especially the younger generation across different platforms. These further consolidated our position and unique competitive advantages in the popular science and knowledge dissemination verticals and demonstrated an upward value and our commitment to being a socially responsible media platform. We also proactively promoted the social distribution features and enhanced the broadcasters' ecosystem by hosting various events centered on hot topics. In the fourth quarter of 2023, we successfully hosted the 2023 Sohu Dancing Festival, the K-pop, and 2023 Sohu Hanfu Festival. These live-broadcasting events brought together users with common interest to our platform, enhancing their vitality and engagement within our user community, both online and offline. On the monetization side, despite advertisers' cautious approach, we explored monetization opportunities by strategically integrating resources across our product metrics. Empowered by our distinctive IP, the Physics Class, we hosted various innovative content marketing campaigns, such as [Talk Under the Starry Sky and Talk on the Top of Snow Mountain] (ph), which served as a continuous source of premium content and sparked discussions and disseminations across multiple platforms. These events gained widespread recognition from advertisers, significantly expanded our monetization abilities and highlighted our competitive advantage. Besides these innovative events, we also continued to host our traditional flagship events, such as Sohu Finance Annual Forum, Sohu Fashion Awards. And leveraging these high-profile events, we were able to better meet advertisers' needs and further consolidate our influence and differentiated advantages as mainstream media platform. Next, turning to the online game business. During the fourth quarter of 2023, online game revenues were in line with our expectations. Within our PC game business, we revamped the skill sets of each clan in regular TLBB PC to highlight their respective characteristics and allow players to combine skills more freely. With TLBB Vintage, we introduced new gear and a related development system to enrich players' battle strategies. In our mobile game business, we upgraded character attributes and many other aspects of a major clan in legacy TLBB Mobile, which helped to increase player engagement. Next quarter, we will launch expansion packs and content updates for the TLBB series and other titles to keep players engaged. Our top game strategy will continue to guide us going forward as gaming technology rapidly advances and the market demand becomes deeper and more diversified. We will creatively explore new ways to better meet players' needs, expand our portfolio for international markets, allocate additional resources to professional talent development and invest in content and technology innovation to bring more high-quality games to the market. We'll maintain our core competitiveness in developing MMORPGs going forward, while also producing card-based RPGs, sports games and casual games. Before I pass the call to Joanna to go through our financial results in detail, we are pleased to announce that on March 2, a few days ago, 2024, our Board of Directors authorized an increase in Sohu's previously announced share purchase program from up to $80 million to up to $150 million of the outstanding ADS shares of Sohu over a two-year period. As of February 29, 2024, Sohu had repurchased approximately 1.3 million ADS share -- ADS under the share purchase program for an aggregate cost of approximately $12 million. With that, I will now turn the call over to Joanna. Joanna, please?
Joanna Lv: Thank you, Charles. I will now walk you through the key financials of our major segments for the fourth quarter and the full year of 2023. All the numbers on a non-GAAP basis. You may find the reconciliation of non-GAAP to GAAP measures on our IR website. For Sohu Media Portal, quarterly revenues were $16 million compared with revenues of $21 million in the same quarter last year. The quarterly operating loss was $36 million compared with an operating loss of $33 million in the same quarter last year. For the full year 2023, Sohu Media Portal revenues were $66 million compared with revenues of $77 million in 2022. The full year operating loss was $139 million compared with an operating loss of $161 million in 2022. For Sohu Video, quarterly revenues were $9 million compared with revenue of $16 million in the same quarter last year. Quarterly operating loss was $32 million compared with an operating loss of $21 million in the same quarter last year. For the full year 2023, Sohu Video revenues were $47 million compared with revenues of $63 million in 2022. Full year operating loss was $130 million compared with an operating loss of $99 million in 2022. For Changyou's online game business and 17173, quarterly revenues were $116 million compared with revenues of $122 million in the same quarter last year. Quarterly operating profit was $47 million compared with an operating profit of $54 million in the same quarter last year. For the full year 2023, Changyou's online game business and 17173 revenues were $485 million compared with revenues of $592 million in 2022. The full year operating profit was $203 million compared with an operating profit of $282 million in 2022. For the first quarter of 2024, we expect brand advertising revenues to be between $15 million and $17 million. This implies an annual decrease of 25% to 33% and a sequential decrease of [16%] (ph) to 26%. Online game revenues to be between $110 million and $120 million. This implies annual decrease of 7% to 15% and a sequential decrease of 4% and a sequential increase of 5%. Non-GAAP net loss attributable to Sohu.com Limited to be between $23 million and $33 million. And GAAP net loss attributable to Sohu.com Limited to be between $26 million and $36 million. This forecast reflects management's current and preliminary view, which is subject to substantial uncertainty. This concludes our prepared remarks. Operator, we would now like to open the call to questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from the line of Thomas Chong of Jefferies. Please go ahead.
Thomas Chong: Hi, good evening. Thanks management for taking my questions. I have two questions. My first question is about our thoughts about the impact of macro headwind to the advertising market in 2024. And for Sohu brand advertising, how's the trend so far across auto, FMCG, Internet services and property sectors? And my second question is about our capital allocation strategy. What makes us increase the authorized amount from $80 million to $150 million as we repurchased only about $12 million as of the end of February? Thank you.
Charles Zhang: So, your first question is about the advertising trends. So, the macroeconomic situation is not as good. So, it will -- trending down basically. The advertisers are being cautious in their budgets. So, our exposure to real estate is really small. So, the property market -- property advertising is not a lot. We'll continue -- we'll see a continued percentage of advertisers. Industries are -- number one is the auto and the Internet services and FMCG, the three sectors. But it's -- yes, it's trending down. Yes, we increased the repurchase from $80 million to $150 million, but it's -- we've been able to purchase -- repurchase $12 million so far due to daily volume -- there's limitation to daily volumes. That's why we would not be -- we would like to complete them all, but it takes time, because daily volume is really low. Did I answer your question?
Operator: Hello, Thomas, your line is still open. If you have any follow-up questions, please ask ahead.
Thomas Chong: Yes. Thank you.
Operator: Thank you for the questions. [Operator Instructions] Next question comes from Alicia Yap from Citigroup. Please go ahead.
Alicia Yap: Hi. Can you hear me okay? Hi, management.
Charles Zhang: Yes.
Alicia Yap: Yes. Hi. Thank you, Charles. Good evening. I have a couple of questions. First is that your first quarter guidance, I think the advertising came a little bit softer than our estimate. Can you elaborate a little bit the current macro environment that you have seen and the advertiser budget sentiment? Is that been trending weaker than you previously expected, or is it in line with what you are expecting? And then, do you expect the macro to turn better in the second half this year, or do you think the weak macro could last a little bit longer? And then second question is on your loss guidance. If we are keeping some of the cost of revenue -- I mean, the cost of revenue for online advertising, does that suggest that the gross profit for online advertising in the first quarter could be actually negative? Just kind of a little bit color like how you guided so much wider on the loss. And then lastly, on the share buyback, is there any reason the buyback pace during the quarter has been a little bit slow? Is that the limit on the daily trading volume, or is it a predetermined price that prevent you from getting more aggressive? Thank you.
Charles Zhang: Yes. I think the advertising market seems -- is trending even down faster than we expected, right? We can see that. And also, this year's spring festival, the Chinese New Year is kind of February 10th, it's little later than last year, right? So, people are -- most of the Q1, people are in holidays. So, many of the companies or the -- our advertisers, they're just -- they start to plan for the year only after the Chinese New Year and then after the -- after 15th, right, of the year. So that's why we only started talking to these advertisers last few days because they all came back to work, and that's why Q1 is even a slower quarter compared with the Q1 of last year. So, it seems I don't see any -- definitely, the seasonality -- definitely will not be a -- no problem with Q2, right? There is no seasonality issue, since Q2 is normally -- is a strong quarter for advertising. But the macro economy situation is not in the -- it seems not improving in the near future, right? So, we expect not much improvement, but definitely will be better than Q1 seasonality. And also, I hope to do it better to -- because we are -- we have some -- also some -- continue our effective and innovative marketing campaigns that bring advertisers. Cost of revenue or gross profit widening, because our current goal or our ambition is really to have strong products and attrition of basically to develop large user base. And with the cash we have, we're still fighting. We're not retreating or we're still fighting. We need to develop user bases. So that -- so in the coming years -- month or year, we're spending more on marketing and on building our products and the video, social network and live streaming user-generated content [indiscernible] products. So that explains that we have forecast a wider loss for Q2. Share repurchase pace is purely due to the daily volume limitation. It's not the price target. No, we don't have a tight price target to limit the purchase.
Alicia Yap: Okay. Thank you, Charles.
Charles Zhang: Yes, Alicia?
Alicia Yap: Yes. Thank you, Charles.
Operator: Thank you for the questions. [Operator Instructions] There are no further question at this time. I would like to conclude the call. Thank you for participating in today's conference call. You may now disconnect your lines.